Operator: Good morning and thank you for joining us for Marine Products Corporation’s Third Quarter 2016 Financial Earnings Conference Call. Today’s call will be hosted by Rick Hubbell, President and CEO; and Ben Palmer, Chief Financial Officer. Also present is Jim Landers, Vice President of Corporate Finance. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session; instructions will be given at that time for you to queue up for questions. I would like to advise everyone that this conference call is being recorded. Jim will get us started by reading the forward-looking disclaimer.
Jim Landers: Good morning. Before we get started today, I’d like to remind everyone that some of the statements that we will make on this call may be forward-looking in nature and reflect a number of known and unknown risks. I’d like to refer you to our press release issued today, our 2015 10-K, and other SEC filings that outline those risks. All of which are available on our website at www.marineproductscorp.com. If you have not received our press release and would like one, please visit our website at, again at www.marineproductscorp.com. We will make a few comments about the quarter and then we will be available for your questions. Now, I will turn the call over to our President and CEO, Rick Hubbell.
Rick Hubbell: All right, Jim Thanks. We issued our earnings press release for the third quarter of 2016 this morning. Ben Palmer, our CFO will discuss the financial results in more detail in a moment. At this time, I will briefly discuss our operational highlights. Our net sales increased by 17.7% during the third quarter. Net sales improved due to the higher unit sales of our Robalo outboard sport fishing boats, and the Chaparral SunCoast outboards and Vortex Jet Boats. This quarter represented a continued overall improvement in the recreational boat market and a good 2016 retail selling season. We continue to be pleased with the market share of all of our product categories. Our Chaparral sterndrive product continued to hold the highest market share in its category, approximately 14.5% for the 12 months ending June 30. Our Chaparral Vortex hold the number two position in the jet boat category and Robalo was the top five manufacturer in the outboard sport fishing category. Yesterday we announced that our Board of Directors voted to pay quarterly dividend of $0.06 per share, same as the dividend cleared last quarter. In addition, we announced that the term of our partial tender offer has been extended from November 1 to November 11. And the offer price has been increased from $9 to $9.60 per share. Any shareholders who tender their stock under the previously announced tender offer will also receive the new higher price for their shares and all shareholders who tender their shares will receive the quarterly dividend. With that overview, I’ll turn it over to our CFO Ben Palmer
Ben Palmer: Thank you Rick. For the quarter ended September 30, 2016, we reported net income of $4.3 million, an increase of 38.1%, compared to $3.1 million in the third quarter of 2015. Our diluted earnings per share for the quarter were $0.11, a $0.03 increase compared to earnings per share of $0.8 in 2015. Net sales for the third quarter of the current year were $55.4 million, an increase of 17.7%, compared to the third quarter of 2015. Our unit sales increased by 12.5% along with a 1.7% increase in the average selling price per boat. This increase in average selling price was due to the quarters’ model mix. During the current quarter, our results benefited from substantially higher unit sales of our Robalo outboard sport fishing boats, and Chaparral SunCoast and Vortex. Gross profit in the third quarter was $11.8 million, an increase of 19.2% compared to the third quarter of 2015. Gross margin during the quarter was 21.3%, comparable to the 21% in the third quarter of 2015. Selling, general, and administrative expenses were $6.3 million in the third quarter, an increase of $887,000, compared to the third quarter of 2015. SG&A expenses were 11.4% of net sales during the third quarter of 2016 and 11.5% of net sales during the third quarter of the prior year. U.S. domestic net sales were strong, increasing by 17% in the current quarter, compared to the third quarter of last year. International sales represented 8.5% of total sales during the third quarter of this year, an increase compared to 7.9% of total sales during the third quarter of 2015. Interest income than the quarter was $121,000 compared to $103,000 in the third quarter of last year. Marine Products’ income tax provision during the quarter was $1,298,000, compared to $1,454,000 in the third quarter of 2015. Our effective tax rate was 23.3%, compared with 31.9% in the third of 2015. The lower effective tax rate during the current quarter was due to the release of evaluation allowance against prior period tax benefits. We anticipate that our effective tax rate during the fourth quarter will return to an effective rate of approximately 30%. Our balance sheet remained strong. Our cash and marketable securities balance increased to $46.9 million at end of the third quarter, compared to $44.2 million at the end of the third quarter last year. Working capital requirements were higher at the end of the third quarter of this year, compared to the prior year to support higher production and sales, but we continue to generate strong operating cash flows. As of September 30, of 2016, compared to the prior year, both our order backlog and our dealer inventories were higher, which reflects both the strong end to the retail selling season, as well as continued dealer confidence for the immediate future. With that I will turn it back over to Rick for a few closing comments.
Rick Hubbell: So thank you Ben. We held our annual dealer conference during the third quarter, and our dealers continue to be optimistic about the recreational boating market in general and our product offerings in particular. We are particularly excited about the new Chaparral product line up called the Surf Series. In this series we are pairing the Malibu's Surf Gate wake surfing technology, which we recently licensed with five of our existing Chaparral models outfitted with board sterndrive propulsion. For Marine Products Corporation this is an innovative way to introduce wake surfing to our traditional sterndrive customers. In addition for the new model here we are introducing seven all-new models, two Chaparral Vortex’s 2820 models, as well as three Robalo models. Recreational boarding industry continues to improve. It was recently reported that the September year-to-date retail sales increased by approximately 5% with strength in most of the main powerboat markets in which we participate. Ben just stated that there are backlog and dealer inventory statistics were strong at the end of the third quarter. Based on these factors, strong industry conditions and our optimism about the 2017 model year, we plan to increase production gradually during the fourth quarter. I’d like to thank you for joining us this morning. And we'll be happy to take any questions.
Operator: [Operator Instructions] And we’ll take our first question from Jimmy Baker with B. Riley.
Jimmy Baker: Hey, good morning. Thanks for taking my questions.
Rick Hubbell: Good morning, Jimmy.
Ben Palmer: Good morning.
Jimmy Baker: First to get some, just more of housekeeping item and maybe I'm missing something here, but if your units were up 12.5% and your average selling price was up 1.7%, where did the other 3.5 points of growth come from to get you to the 17.7% increase.
Jim Landers: Jimmy, this is Jim. Part of it was parts and accessories, sales, which are a different line item that grew by actually – that line item actually grew by a good debt, higher than our overall net sales increase. I think that's the biggest part of it.
Rick Hubbell: Yes and that can be just model mix. I think the fact that the larger models in that more parts and accessories and sort of reflective of the increase in that average selling price, as well.
Jimmy Baker: Okay, sure. And then you mentioned seven new models for the year. Do you happen to have the total number of models handy just wondering what that seven comprises is kind of a percent of your total fleet?
Jim Landers: We don't have the total number because there's a net there are probably some models we’re retiring. We may have that in front of us here and might come back during the call.
Rick Hubbell: Yes, somewhere – we have somewhere around numbers 15 [ph] models typically and we have taken a couple of models out. So I would say that it's just around, that would be about a 10% increase.
Jimmy Baker: Okay, understood. And then just a couple questions on the tender. I guess historically or at least in recent history, you've been paying out, not only about the regular dividend, but also a special dividend near year end. Can just talk about sort of the factors that drove you towards the tender this year? I guess may be the questions more succinctly is why now.
Rick Hubbell: I think we’re always exploring ways to try to effectively return capital to our shareholders. And I don’t if there is anything now other than the fact we’ve continued to build cash and it's just an option that we’ve sold off the shelf and I don't know that there’s anything in particular about the timing other than just a discussion that arose among the Board members and the decision was made. So I don’t know if there is anything in particular about the timing other than just a different method of returning capital to shareholders.
Jim Landers: And Jimmy, we also want give an opportunity to large shareholders who maybe out there, who may if whatever reason want either lighten up their position or liquidate. You know very well that our average daily volume is pretty low, it’s around 15,000 shares. So somebody who might have 40,000, or 50,000, or 80,000 shares but they want to sell whether that’s a good idea or not we want to offer them that option. And it’s really hard to do with such low trading volumes. That part of it as well.
Rick Hubbell: And historically overtime we have done, we have executed the market repurchases, but again Jim indicated the volume, the daily trading volume is so low because this is an opportunity to get at one-time a nice block of shares. We hope that’s our intent or our hope.
Jimmy Baker: Okay, understood. Just lastly then, I was hoping you could talk a little bit about the initial take rate on surf case since you began marketing that option to your dealers and consumers. I imagine awareness may still be somewhat low, but just curious if you can share kind of any commentary on the trajectory, or what you think is the realistic take rate for the full model year 2017 on those five models.
Jim Landers: Jimmy in its first two months of production and sales the growth rate has been astronomical, but the numbers are very small right now. So we honestly don’t know, we think it is going to have a lot of appeal to our market. We really want to be ready to go with it from 2017 model year. We just don't know at this point. We're just going to have to see. As you know when we’ve discussed wake surfing is pretty popular and this is another option that we’re really excited about. Its impact in third quarter was not material. But we think that we see some good results, we just don't know. We don't have an internal idea what it might be.
Rick Hubbell: And we’re beginning to rollout the announcement in the marketing of it is quiet new. But we are excited about it and do think it is a good alternative for sterndrive, knowledgeable customers too.
Jim Landers: And our dealers had not seen it until the dealer meeting in August. And I can tell you there is a lot of excitement from them about it.
Rick Hubbell: Yes.
Jimmy Baker: Can you talk at all about just the cost of that option, I suppose if retail, in other words equipped either a dollar value or the percent of the overall boat cost that the optional take would be?
Ben Palmer: Again we’re restrictive in somethings, disclosing somethings because of our agreement. But it will in round numbers will add the 4% to 6% range it will add that amount of cost at retail for the boat.
Jimmy Baker: Okay perfect. Thanks very much for the color guys.
Ben Palmer: Sure, thanks.
Rick Hubbell: Thanks.
Operator: [Operator Instructions] And it appears there are no further questions at this time. Mr. Jim Landers I’d like to turn it back to you for any additional or closing remarks.
Jim Landers: Okay, thank you. So Jimmy thanks for the question. We also appreciate everybody else who called in to listen. We hope everyone has a good day. And I will talk to you soon.
Operator: And that does conclude today’s conference. As a reminder this conference call will be replayed on www.marineproductscorp.com within two hours following the completion of today’s call. You may now disconnect.